Jacobus Loots: Good morning to all of you, and welcome to our 2026 interim results presentation. Thank you very much for taking time out of your schedules to join us today. We will keep the presentation fairly brief with an opportunity for questions afterwards. Joining me in presenting today will be Marileen Kok, our Financial Director. A special word of thanks to our finance department and also to the rest of the amazing Pan African team for excellent work in putting these results together. You are welcome to refer to our SENS and RNS announcements and to the supplementary information available on the Pan African website should you require detail not dealt with in today's presentation. Please note the disclaimers and information on forward-looking statements on Slides 2 and 3. Reflecting on the half year past, Pan African could not have chosen a better time in the last 100 years or more to be in the gold business and furthermore, to increase our gold production by 50%. Pan African has again made excellent progress in our strategy of positioning ourselves as a safe and sustainable, high-margin and long-life gold producer with very attractive future prospects. Not many gold producers are able to successfully commission 2 new transformational projects within the space of 18 months. Today, we are also announcing sizable near-term expansions to these projects. It is a pleasure to present this set of results. However, I'm even more excited about our future, about further growth in production and importantly, to continue making a tangible and real positive difference to all stakeholders in the regions that we operate. A lot has been said about the gold price, and we have to give credit to the rise in the fortunes of the yellow metal, which is, to some extent, reflected in the set of results. Suffice to say that if the current gold price is maintained, we can expect an even better second half to the financial year with increased production also. Last year, we set some records. This half year was also a busy one for Pan African. We are again breaking records with the following worthwhile noting. We moved to the London main market and were included in the FTSE 250 Index. Pan African is now one of the largest gold miners listed in London. We achieved record half-year production results. We are reporting record profits, record headline earnings per share and record cash flows. We are initiating an attractive interim dividend to our shareholders, and we should be pretty much ungeared from a net debt perspective before the end of this month. Over the last year, we reduced debt by more than $180 million, demonstrating the cash flow generating ability of our portfolio. By financial year-end, at prevailing gold prices, we should have accumulated a very healthy cash balance despite investing meaningfully in all of our growth initiatives. Pan African is now incredibly well positioned to capitalize on current gold prices and on our increasing production profile. And I look forward to sharing some thoughts and further detail on many of our initiatives and plans in the following slides. On Slide #4, an overview of the presentation. We will start with Pan African's health and safety performance, which is obviously critical in our business. And then provide an overview of the group and our operating environment, some key features from the half year with detail on asset performance as well as our cost and capital outlook. We will then spend a couple of minutes on ESG before allowing Marileen the opportunity to highlight elements of the group's financial performance for the period. The presentation will then conclude by outlining focus areas for the year ahead. If we then proceed to Slide #6, our safety performance and our journey to zero harm. We continue to focus on safety initiatives and interventions and on maintaining our industry-leading record. We can also celebrate a number of safety milestones achieved during the reporting period. I would like to specifically mention the achievements of our surface business, now including Tennant, with these operations again achieving zero lost time and reportable injuries for the half year. My commitment is that we will continue to do our utmost to ensure the safety of our people and operations in order to realize our goal of a zero harm working environment. Slide #8. We believe Pan African offers a compelling investment proposition. We operate a well-diversified portfolio of producing gold assets in 2 jurisdictions with outstanding mining pedigrees. We have a high margin and stable operating base, generating very attractive cash flows, growing ever closer to 300,000 ounces of gold production per annum. We expect production to grow by almost 40% in the next year, driven primarily by the ramp-up of MTR and Tennant Mines. Our assets are long life and the group has a huge reserve and resource base for further expansion with some very exciting projects that we will discuss later. We have a proven track record of project delivery, excellent capital allocation and a sector-leading dividend, now also with an interim dividend. And we have the ability to leverage the existing portfolio for further attractive growth. No need for us to go out and buy expensive assets at high valuations at this stage. Slide #9, the proof is in the pudding or in the numbers in this case. An investment in Pan African in 2009 when the group in its current form came into being, would have increased some 75-fold versus gold price increase also attractive of around 6x. We've also received an attractive dividend over this period, further increasing returns on Pan African stock. The company is now well covered by local and international analysts and has a diversified shareholder base. Slide #10. We have built a unique portfolio of surface remining and underground assets. The addition of MTR and Tennant mines means that we now have 3 large mining complexes in South Africa and 1 in Australia, all contributing towards a material increase in gold production in the years ahead. Surface operations to reduce unit costs and turn legacy liabilities into profits, whilst the underground mines provide long life of mines, solid returns on investment as a result of a large sunk capital base and also attractive optionality, which we are bringing to account in a circumspect and considered manner, always thinking about the best way to allocate capital and generate returns for our shareholders. Slide 12, a bit more detail on our current portfolio of assets. I think what is very helpful is that all of our operations now have extended lives with the shortest life being the BTRP at 6 years, excluding Royal Sheba. If we compare ourselves with the sector, many producers are running out of life on their assets or have to invest significant capital for future production, not the case for Pan African. We do not have to go and acquire more assets to maintain and grow production. Slide 13, our operating environment. We continuously seek ways of making our business less susceptible to adverse external impacts in South Africa. We have now seen an extended period without any load-shedding. We are rapidly expanding our renewable energy footprint. Our mining rights are long dated, and we have multiyear wage agreements in place at most operations. At Pan African Resources, we characterize our labor relations as constructive and stable, underpinned by a proactive consultative approach with recognized unions and structured engagement forums. Pan African has in the past, consistently pursued longer-term collective agreements. And as I've said, we have multiyear wage agreements in place at most operations. Some of the other focus areas include employee health and engagement initiatives. We are also very proud of our interactive smartphone app, which we are currently implementing for all employees, creating a unique employee value proposition for a more engaged workforce. Pan African's track record demonstrates that we can operate and grow in South Africa and do so very successfully. Our experienced Australian team will ensure the same success in that jurisdiction. We have found Australia's Northern Territory government very welcoming and supportive of our operation. It is a great place to do business, and we look forward to further expanding in that jurisdiction. If we then proceed to key production cost and financial features from the half year past on Slide 15. Gold production was up more than 50%. Our guidance for the full financial year is 275,000 ounces or more, with production weighted to the second half of the financial year as MTR's expansion is completed, Tennant mines start mining higher grades from open pits, and we are firmly established in Evander's very-high-grade 24 level B-Line. We are expecting production for our next financial year to be even closer to 300,000 ounces. Our all-in sustaining cost for the half was $1,874, above previous guidance. The primary reasons for overshooting on all-in sustaining cost was the rand-dollar exchange rate, employee option expenses as well as increased royalties and processing of third-party material. For the full financial year, with increased production, we expect all-in sustaining costs to decrease to between $1,820 to $1,870 per ounce. We expect to be net debt free by the end of this month. And importantly, the group remains entirely unhedged. And despite all of the growth and capital reinvestment, we are able to maintain our sector-leading dividend to shareholders, also now initiating an interim dividend. Slide 16 should be an interesting one for our investors, demonstrating how nicely we have expanded margins in recent years, now with meaningful contributions from MTR and Tennant Mines and also the full impact of prevailing record gold prices not yet fully reflected. Slide 18. I think it is fair to say that Pan African has a record second to none in terms of conceptualizing construction and operation of tailings retreatment projects, now complemented by Tennant Mines also. These long-life assets form the cornerstone of our business. And we have further room to grow in this space detailed in the next slide, which presents a very compelling investment proposition. If we then move on to more detail on the performance per operation, starting with Elikhulu on Slide 19. Clearly, a flagship asset for the group, just under 9 years of production remaining, producing at $1,200 per ounce, currently the lowest cost in the group. Elikhulu delivered an excellent performance for the half year, production up 15%, and we look forward to another great year and clearly excellent cash flow generation in the current gold price environment. The asset generated $78 million of EBITDA for the half year, basically the same as for the full previous financial year. We are also now constructing the Winkelhaak pump station ahead of when required. This will enable us to feed material from both Leslie/Bracken and Winkelhaak in the next financial year. Slide 20, the BTRP, another good performance from our first gold tailings retreatment plant commissioned in 2013. As previously flagged, we have extended the life of this operation from surface remining only to 6 years. The capital requirements for this life extension, a relatively modest $4 million for the new Bramber pump station has now been spent and the pump station commissioned. The BTRP will, therefore, continue to form an integral part of Pan African's tailings retreatment and the Royal Sheba story for many more years. MTR on Slide 21. We commissioned the plant in October 2024, ahead of schedule and below budget. We have now also successfully completed the CIL and reactor expansion in December and already achieved the expanded nameplate capacity in the same month. Production from MTR was approximately 10% lower than anticipated for the half as a result of processing an area with lower grades and recoveries. However, we expect a nice pickup in H2, which will also positively impact unit costs. Going forward, MTR should deliver 55,000 to 60,000 ounces of annual production. We are completing construction of a water treatment plant on site and should also start construction of a 20-megawatt solar facility before the end of the calendar year. On Slide 22, we cannot say enough about the socio-economic and environmental benefits of this project. Concurrent rehabilitation is in progress. We are uplifting local communities, providing much needed economic and employment opportunities and working with law enforcement to eradicate illegal mining. Also a special mention to our MTR team for winning the Best ESG project in Mining Award at December's Resourcing Tomorrow Conference in London. Slide 23, Tennant. We could not have chosen a better time to make this acquisition, which is now fully integrated into the group with the Nobles plant running at steady state. The Tennant Creek Mineral Field was historically one of Australia's highest grading gold provinces, located in a Tier 1 mining jurisdiction and through our wholly owned tenements and the exploration joint venture with Emmerson Resources, we control some 1,700 square kilometers of very prospective ground in this mineral field. The initial life of mine at Nobles is 8 years. However, strategic exploration and studies are underway to improve this to more than 15 years, especially when considering our Warrego copper and gold deposit, containing 16.5 million tonnes of ore at 1.3% copper and 1.1 gram per tonne gold. Historically, exploration in this area was only focused to near surface mineralization with less than 8% of drilling being done at depths greater than 150 meters. Slide 24. The construction of the Nobles plant was completed in April 2025, with the first gold produced only 1 month later. The project was completed ahead of schedule and within budget. Soon thereafter, in July 2025, full nameplate capacity of 70,000 tonnes was achieved. This has been carried through into the reporting period's production with Tennant mines producing almost 16,000 ounces, mainly from processing the Crown Pillar Stockpile, which is on surface and next to the plant. It is expected for production to improve significantly in the second half as higher grade ore from the Rising Sun open pit with an average grade of 5.8 grams per tonne and from the Nobles open pit at approximately 2 grams per tonne are mined and processed. The forecast for Tennant Mines in FY '26 is to produce between 46,000 to 50,000 ounces of gold. The all-in sustaining cost achieved in the first half was impacted by the lower unit production from the low-grade Crown Pillar Stockpile and working costs incurred for the pushbacks at the relevant pits. This cost is anticipated to reduce in H2 as the unit production increases. The initial life of mine of 8 years from current sources is targeted to increase to more than 15 years through systematic regional exploration around known mineralization, such as the Juno and Golden Forty deposits, along with more than 10 additional previously unknown targets that were identified through geophysical programs over the last 6 months. Juno contains resources of 262,000 ounces at a grade of 4.16 grams per tonne with a further large deposit successfully drilled below the Juno resources. This deposit remains open at depth, while the deeper load is also open at depth and on strike. Similarly, the Golden Forty deposit, which is part of the Small Mines Joint Venture, holds some 114,000 ounces of gold at a grade of 7.25 grams per tonne, while multiple high-grade drill intersections occur close to the known resource and will be targeted for additional exploration and resource growth. About 6 months ago, we promised growth from Australia, and here it is. The group will invest further by increasing the throughput of the plant from 840,000 to 1 million tonnes per year. This will be done by adding 2 additional CIL tanks, a fixed crusher front end and a flash float circuit to minimize the effects of low-grade copper ingress into the circuit. The accelerated development into the ore deposits at Juno and Golden Forty, which will both be mined underground utilizing a trackless decline system will form part of this strategic investment. Additional to these deposits mentioned is the White Devil shallow deposit of more than 600,000 ounces at 4.1 grams per tonne from where open pit mining can extract almost 400,000 ounces from the asset at an average stripping ratio of 20. The deposit at White Devil outcrops on surface and is open on strike and at depth. Initial oxide mining at White Devil will come in at an even lower stripping ratio of less than 10. We are in the process of finalizing the Major Mines Joint Venture agreement with our partner, Emmerson. All of these developments will see the production of Tennant Mines grow from 50,000 ounces to approximately 100,000 ounces per annum over the next 3 years. Slide 26, the Evander underground, a much better performance for the period with production up by almost 90% and further improvements expected in the second half. The new infrastructure is fully commissioned and functioning as expected. All-in sustaining cost has also reduced nicely with the ramp-up in production. If we then proceed to Slide #27, dealing with Fairview, our flagship underground operation at the Barberton Mines Complex, a good performance with gold production up by 10% with mostly ore from the MRC and Rossiter orebodies. We continue to build more flexibility at this operation and will invest in further development and refrigeration in the next years to support the operation's very extended life of mine of more than 20 years. The smaller underground operations at Barberton on Slide 28. In terms of Consort, the rehabilitation of the PC shaft has been completed and now enables the contractor to recommence mining on the high-grade 41 to 45 level mining sections. Additional development is ongoing on the MMR and the PC shaft to access mineral reserve blocks, which will give us access to more ground to mine. Much better performance from Consort in the half with production up by 20%. As far as our Sheba mine is concerned, production was impacted by lower grades mined, and we again continue to develop in order to improve flexibility. Slide 30, the section dealing with all-in sustaining costs. Almost 90% of our portfolio produced at an all-in sustaining cost of $1,700 per ounce. Slide 31 illustrates that our cost performance continues to be very much in line and better than the average for the global sector with most producers having experienced significant pressure in terms of costs in the last couple of years. On Slide 33, group capital projects. We continue to invest into our assets and into growth. For the full financial year, sustaining capital is fairly subdued in terms of growth in the next financial year. We are, however, using increased cash flow margins in fast-tracking developments, principally at Tennant and MTR. On the next slide, it is great to discuss some further near-term growth opportunities. Slide 35, the Soweto cluster at MTR. As we have said before, the Soweto cluster consists of more than 100 million tonnes of tailings with a mineral reserve of more than 500,000 ounces of recoverable gold. The pre-feasibility yielded some very attractive results. We can be producing between 30,000 to 35,000 ounces of gold annually at a very competitive all-in sustaining cost for an initial capital investment of some $160 million. The definitive study will be complete in the next months, whereafter our Board will finally assess the way forward. Slides 36 and 37, some very attractive growth at Tennant also. Historically, the Warrego mine produced 41.3 tonnes or 1.3 million ounces of gold. 91,500 tonnes of copper and 12,000 tonnes of bismuth between 1973 and 1998. This project is a wholly owned asset, which contains a further resource of 219,000 tonnes of copper at 1.3% and 582,000 ounces of gold at 1.1 grams per tonne and remains open at depth. By itself, this is a large deposit with multiple exploration targets to the north and south of the current mine. A feasibility study is underway on the copper and gold strategy with results expected early in the new calendar year. This study targets the production of 10,000 to 15,000 tonnes of copper per year, along with an additional 20,000 to 30,000 ounces of gold, while extending the life of Tennant mines past 15 years. Other third-party copper and gold sources in the region could support a hub-and-spoke strategy also. And finally, on growth, the Poplar project at Evander almost forgotten. Poplar is one of the largest remaining unmined projects in the Witwatersrand Basin and hosts more than 6 million ounces of gold at around 7 grams per tonne in mineral resources within Pan African's existing Evander mining right. It is a shallow 500 meters below surface, high-grade Kimberly Reef system defined by extensive historic drilling that confirms reef continuity and structural definition. Poplar represents the northwest extension of the proven Kimberly Reef orebody currently being mined at Evander's 8 shaft, materially reducing geological and execution risk. An existing pre-feasibility study is being updated and is targeting 100,000 ounces per annum underground operation, utilizing conventional Witwatersrand mining methods and leveraging existing Evander metallurgical infrastructure, significantly enhancing capital efficiency and shortening the potential route to production. Poplar does not represent exploration upside. It is a delineated high-grade underground growth platform within our existing operating footprint with a scale to materially strengthen the group's future cash generation and drive sustained shareholder returns. ESG on Slide 40. We continue to be very proud of our achievements on this front, particularly on progress with renewable energy, water retreatment and social projects. We really do make a positive difference where we operate. To elaborate further on our renewable energy road map on Slide 41, we are targeting more than 60% renewable energy in the next years. I will now hand over to Marileen, who will provide an overview of the financial results for the 6 months.
Marileen Kok: Thank you, Cobus. On Slide 43, you will notice the positive impact of the 62% increase in the average U.S. dollar gold price received and the increase of 59% in gold sold for the reporting period on the financial results. Revenue increased by 157% period-on-period to USD 487 million, with the group fully benefiting from the record high spot gold price throughout the reporting period, whereas hedging was still in place for the prior period. The increase in revenue also resulted in an increase in adjusted EBITDA of 323% and an increase in earnings of 207% to $148 million. Headline earnings increased by 541% to $149 million and headline earnings per share increased by 512% to $0.0734 per share. Earnings per share increased by 192% to $0.073 per share. In the prior period, the gain on bargain purchase of $28 million as a result of the Tennant Mines acquisition was included in earnings per share, but not headline earnings, which explains the difference between earnings per share and headline earnings per share. There are no material differences between earnings and headline earnings in the current reporting period. Production costs and all-in sustaining costs in U.S. dollar terms were impacted during the current reporting period, mainly as a result of the appreciation of the rand relative to the U.S. dollar by 3.2% and the increase in share-based payment expenses as a result of the increase in the share price by more than 140%. Further cost increases included higher royalty payments as a result of the higher gold price and increased profitability of the operations and payment for third-party material treated at the Evander and MTR operations. Although the cost of production from these third-party sources is higher than the cost of the group's own production, the margin is still very attractive at prevailing gold prices and ensures that we utilize the group's full processing capacity. The impact of a full 6 months of production from the Tennant Mines and MTR operation should also be taken into account when comparing the absolute cost of production as these operations were not fully commissioned in the corresponding reporting period. Tennant Mines and MTR contributed to increases of 25% and 19%, respectively, to the total group cost of production. Unit cost of production are expected to decrease during the second half of the financial year as a result of an increase in production, given that the group's production cost consists of a large fixed cost component. This will ensure that full year unit cost of production will be between $1,820 and $1,870 per ounce as per the revised cost guidance at an exchange rate of ZAR 17 to the U.S. dollar. The very substantial increase in cash flows from operating activities before dividend, tax, royalties and net finance costs of 588% to USD 260 million demonstrates the impact of growing gold production by more than 50% while controlling cost increases in this high gold price environment. These cash flows assisted the group in paying the record net dividend in December of $44 million and to de-gear the balance sheet by reducing net debt by 80% from $229 million to $46 million. The reduction in net debt included the settlement of the 4 SO1 bonds, which was part of the group's inaugural issuance in the debt capital markets and also early repayments of the MTR term loan facility. Slide 44 demonstrates the ability of the group to generate exceptional cash flows at prevailing gold prices. At current gold prices, the group will be fully de-geared from a net debt perspective by the end of the month. The expected debt redemption profile is obviously well ahead of contractual requirements. The MTR term loan facility was fully settled in January 2026, well in advance of the contractual repayment date of 31st of July 2029. The group's revolving credit facility and general banking facilities is undrawn, and the group is currently busy finalizing the extension of the maturity dates of these facilities as they constitute a key component of our core working capital facilities. A number of very attractive banking proposals are currently being considered for the extension of these facilities. The group's remaining outstanding debt facilities currently consists of the listed corporate bonds in South Africa, combined with the funding facilities for the Australian operations from the Northern Territory government and a private financial institution. I'm also pleased to report that we are in the process of settling the Australian debt facilities, and this will be completed before the end of the financial year. Slide 45 tracks the group's historical dividend payments and attractive returns to shareholders. The record dividend of $0.37 per share for the 2025 financial year resulted in a net payment of USD 44 million during December 2025. This dividend represented an increase of 68% compared to the dividend for the 2024 financial year. The group has also now initiated interim dividends with a ZAR 0.12 per share dividend approved by the Board for payment in March 2026. We are very comfortable that Pan African has sufficient available liquidity after payment of dividends to fund operations, together with further renewable energy initiatives and our very attractive growth projects. Thank you. I will now hand back to Cobus to conclude today's presentation.
Jacobus Loots: Thank you, Marileen. If we conclude on Slide 47 and to again reinforce some key points. We now have the tailwinds from the highest gold prices in history, and the group is completely unhedged and pretty much ungeared. We are expecting further production growth in the half year ahead, and we have a pipeline of very attractive growth projects. Clearly, in this environment, the group is generating very significant cash flows. Let me reassure shareholders that, as always, we will continue to be incredibly prudent in capital allocation and investment decisions. We have an outstanding track record in terms of generating sector-leading shareholder returns on an absolute and per share basis, and we will not compromise on this metric. Thank you very much for your time this morning. We look forward to continue mining for a future and expanding our horizons in the period ahead.
Hethen Hira: Thank you again for joining us this morning. And there definitely is a bit of time for questions. So let's do the conference call first, if you don't mind.
Operator: [Operator Instructions] At this stage, we have no questions from the telephone lines. I will now hand back for questions from the webcast.
Hethen Hira: Thank you very much. We have a few questions on the webcast. The first one from Dylan Griffiths of Foord Asset Management. I appreciate the updates to guidance for FY '27. You've given us a range of 50,000 to 54,000 ounces of official guidance for Evander, but noticed the presentation slide on Evander suggests circa 70,000 ounces. I understand you're into some good grades at 24, 25 level. Could you reconcile these 2 estimates for us?
Jacobus Loots: Thanks, Dylan. Yes. So 100%, we're mining the B-Line on 24 level. It really is exceptional grades. And that's partly the reason for the really nice increase in production from the Evander underground during this period. You're 100% also correct, 70,000 ounces, if one looks at the life of mine is not an unreasonable expectation from the underground. And as we continue into 25 level and we ramp up 25, definitely, we can expect an uptick in production from the underground. For next year, we want to be a little bit conservative still in terms of the production. So we're quite comfortable 50,000-54,000. Hopefully, we can do better. But again, we're quite excited about the prospects for the Evander underground. As we said, the infrastructure is working well and a lot of scope to grow. So you can expect increases from Evander in the coming years from a production perspective.
Hethen Hira: Thank you, Cobus. The next question is from Herbert Kharivhe of Absa. Please comment on the state of the cyanide market. Some of your competitors are reporting supply challenges. Is the current supply from Sasol sufficient to service increasing demand as gold mining activity increases across the country, especially from cyanide-intensive operations like tailings?
Jacobus Loots: Yes, I can't comment on our competitors or peer companies. But fortunately, Pan African had the foresight to install briquetting plants for cyanide at all of our operations, which means we can import cyanide if so required. So that was very good planning from our perspective. Obviously, it's well spoken about it. There was a shortage in the South African market given challenges from our supplier. But Pan African is very well set up in that we have flexibility. So generally, we don't see those shortages impacting our operations. And also from a cost perspective, over the recent years, because of the large increase in the sort of cost of cyanide, it's pretty much sitting at import parity at this point.
Hethen Hira: Thanks, Cobus. Nkateko Mathonsi from Investec asked about, please give us color on Tennant all-in sustaining cost. And where is it likely to land in H2 FY '26 when production is double that achieved in H1 FY '26? And following on Tennant, Arnold asked, will you have to make any additional payments at Tennant to buy out partners or property holders?
Jacobus Loots: Well, the all-in sustaining cost, we've guided will come down in Tennant as we produce more ounces. There's a lot of fixed costs. Obviously, also, we spend a bit of money on accessing open pits, et cetera. But units of production always reduces costs. So you can expect lower costs from Tennant. And in life of mine, the cost should be a lot lower as we ramp up. And you would have seen that we have given a lot of guidance in terms of moving to 100,000 ounces of production at Tennant in the next 3 years, which I think will be very good. And that excludes any growth from Warrego, which can give us a lot of copper and gold. So it's quite exciting. In terms of payments, Marileen, there are some payments still to be made, which we factored into all of our numbers.
Marileen Kok: Yes, yes. All of the royalty payments and everything is included in all of our numbers. And yes, there's no additional payments for any expansion included in the current numbers.
Hethen Hira: Thank you very much. And Arnold again from Nedbank. What is your underlying year-on-year all-in sustaining cost inflation. If we strip out the impact of royalties and share-based payments, will you be able to keep a lid on cost given the high -- given the current high gold price?
Marileen Kok: Thanks, Hethen. So if you look at our current cost base, and as you've rightly pointed out in your question, Arnold, and we strip out the exceptional items for the appreciation of the rand, the share-based payment, and then also the surface sources, you'll see that our all-in sustaining cost is then very close to what it actually was last year. The biggest cost base we have is in rand with the Australian operations just coming on board in the last 6 months. So if you look in absolute rand terms, the costs are very well controlled. It's basically only electricity where our increases are above inflation. All of our other cost increases is in line with inflation now. And we also managed to get some good savings there through the use of our renewable energy and after the restructure of the Barberton workforce following the Section 189. So those savings actually offset some of the electricity increases, resulting in our rand cost base increasing in line with inflation only.
Hethen Hira: Thanks, Marileen. Chris Reddy from All Weather Capital asks regarding your point on the potential for strong cash balances should gold prices hold, what is your view on buybacks versus special dividends?
Jacobus Loots: Chris, it's always a controversial one. Some people love buybacks and some investors don't like them at all. So we try and, I guess, balance the views from investors. But the bottom line is, I mean, in this environment, we -- despite spending a lot of money, obviously, in expanding production so significantly over the last years, we should have no debt by the end of this month. And that's obviously, we're sort of rewarding shareholders now with an interim dividend. You expect -- can expect increased dividend payments, and we'll continue to assess the opportunity for buybacks as we have in the past and balance that obviously against also the very exciting and value-accretive growth that we have in the portfolio and that we've discussed and outlined.
Hethen Hira: Thanks for this. There are 2 questions regarding the third-party material. Bruce Williamson from Integral asks, how secure and sustainable is the third-party material you are processing and could it grow? And Arnold wants to know how do we ensure this material comes only from legitimate sources?
Jacobus Loots: Well, I'll ask, firstly, on the first bit. Look, it's not -- it's obviously it's quite profitable at this gold price. It's not something that we're banking on long term to sustain our operations. It's good when it happens. And obviously, it ensures efficiency in terms of keeping our plants full. We think there's a lot of scope, specifically on the West Rand from the cleaning up. It's such a huge area. So I mean, we're even sort of investigating the merits of putting up a hard rock circuit as part of MTR. So that could be a very good development in the next year or so. We're not banking on it continuing, but it is very good if it does. In terms of compliance, we take compliance very seriously. Marileen, do you?
Marileen Kok: Yes, we've got a legal team checking all of the permitting and licensing of anyone who supplies material to us to make sure that they've got the necessary documentation in place and that we only procure from legitimate sources.
Hethen Hira: Thanks very much. Herbert Kharivhe from Absa again. With such a strong project pipeline, is it accurate to say production will likely be closer to 400,000 ounces by FY '29 with tailings accounting for approximately 250,000 ounces?
Jacobus Loots: Herbert, I think, sort of -- look, we're in a very fortunate position from an organic project perspective, and we've outlined the really exciting Soweto development. We've outlined what we're doing at Tennant and obviously also a bit medium, longer term Poplar. So I mean Pan African is in the enviable position that we can grow and we don't have to go buy anything at this very expensive gold price. About the 400,000, I mean, we certainly will continue to look to grow production as we have been. There's no reason why we can't materially increase production over the medium term, I think. And in the next while, we'll sort of look at the medium and longer-term plans and outline where we see things going. But most definitely, you can expect further production growth into the future.
Hethen Hira: Thanks a lot. The final 2 questions, one from Nkateko at Investec. Is hedging not attractive at current gold price and prevailing volatility, particularly considering the number of potential projects in the pipeline?
Marileen Kok: Thanks, Hethen. So yes, although it is very attractive to lock in margins at these gold prices, our shareholders have indicated to us that they especially like the exposure to the gold price, and that's why they invest in a single commodity company like Pan African Resources. Historically, we've used hedging only as a risk mitigation tool if we've got a big capital project or if there's big debt payments. But Cobus said, being fully de-geared now and giving the shareholders that exposure to the gold price that they want, we don't currently contemplate any hedging, no.
Hethen Hira: Thanks a lot, Marileen. Finally, a question from Sven Lunsche at Miningmx. Your Barberton and Mintails operations are in areas with high Zama Zama activities. Can you provide more details on your measures to reduce their impact?
Jacobus Loots: Yes. We have an excellent security team. It's really a core function. And again, maybe it's the right forum to thank our security team for all the excellent work they do in keeping our people and our assets safe. There's definitely an increased focus and there's an onslaught, most definitely, and we see a lot of influx illegal immigrants from Mozambique in the light of Barberton. But that's part of what we do is we keep it under control. We work with law enforcement. We'll continue to do so and make sure that we can mine for many more years.
Hethen Hira: Thanks very much, Cobus. There are no more questions on the webcast. I understand there are 2 on Chorus Call.
Jacobus Loots: So we move to the conference call.
Operator: At this stage, we have one, which comes from Jasper Mainwaring of Berenberg.
Jasper Mainwaring: Thanks for the update and the color provided on the FY '27 CapEx guidance. Looking ahead, as you move into FY '28, how should we be thinking about CapEx given the number of the growth projects you mentioned today and as you move into a net cash position?
Jacobus Loots: Thanks. Well, our forecast, is that by the end of this financial year, we'll already be in a net cash position. So there is an increase in capital in FY '27 as we've guided. To take a step back, FY '26 capital is pretty much in line with what we've said before. But I mean, the primary increase in '27 relates to MTR and even more importantly, to Australia. We're going to spend $100 million in Australia. But in exchange for that, we're growing production to 100,000 ounces, excluding copper gold from Warrego. I think that's really fantastic growth. So the bottom line is in this gold price and even at a lower gold price, I mean, we can afford to continue to increase dividends, and we can grow, as we've indicated. And yes, we'll still be net cash. So that's a very enviable and good position for us to be in. In terms of capital for FY '28, all things being equal, you can expect the number to come down. I mean I look at our portfolio, I mean, we're spending the last bit of money now on Elikhulu for the life. Evander underground capital will reduce further as we go further into steady state. Barberton, we continue to spend, but that is very sensible spend at this point. And MTR, a bit of money still on tailings. But the bottom line is most of the capital we're going to be spending in the next years will be on increasing our production profile for many years to come into the future.
Hethen Hira: Thank you. There are no more questions.
Jacobus Loots: Thank you to everybody that's taken the time to dial in and to join us today. And if there are any further questions, you know where to find us. Thank you very much.